Operator: Greetings, and welcome to the Trean Insurance Group Inc. Third Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Garrett Edson. Thank you, sir. You may begin.
Garrett Edson: Thank you, operator. Good afternoon, and welcome to Trean Insurance Group's Third Quarter 2022 Earnings Call. This afternoon, the company released its financial results for the third quarter ended September 30, 2022. The press release is available on the Investor Relations section of the company's website at www.trean.com. I'd like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to a number of trends and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. I refer you to the company's filings made with the SEC for a more detailed discussion of the risks and factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. The company undertakes no duty to update any forward-looking statements that may be made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. Our presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Reconciliations of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be accessed through our filings with the SEC at www.sec.gov. Joining me on the call today are Julie Baron, the company's President and Chief Executive Officer; and Nick Vassallo, the company's Chief Financial Officer. With that, I am now going to turn the call over to Julie.
Julie Baron: Thank you, Garrett, and welcome to our third quarter 2022 earnings call. We appreciate your participation on our call, and for your continued support and confidence in Trean. We are very pleased with our performance this quarter, as we delivered on top line and bottom line results ahead of our expectations, and generated double-digit adjusted return on tangible equity. For the quarter, we reported adjusted net income of $5.5 million, or $0.11 per diluted share, and an 11.2% adjusted return on tangible equity. With our year-to-date loss ratio remaining relatively consistent through the quarter, our focus on underwriting discipline and profitability is keeping us in solid shape despite the challenging macro environment. Along with our solid performance, we made strides in the quarter to further strengthen Trean's ability to drive sustainable and profitable growth over the long term. As we noted on our last call, we completed a new exclusive distribution partnership with Beat Capital Partners Americas, marking our entrance into the rapidly growing non-admitted insurance market, specifically Excess & Surplus product offerings. We spent the last couple of months working with Beat to bring the program online and are excited for its full year contribution in 2023. We believe the E&S offering and partnership will become a material contributor to our performance in the New Year, and unlock significant long-term profit potential for the company. In addition to partnering with Beat, we strengthened our balance sheet during the quarter with the issuance of a $50 million, 6.75% surplus note due 2042. This issuance provides us with additional surplus to help ensure that, we continue to successfully execute on our longer-term growth strategy. We were also pleased, subsequent to the end of the quarter to have A.M. Best reaffirm our A rating. As we wrap up the year, we will continue to focus on the fundamentals that are broader success, our disciplined underwriting and program partner selection, efficient claims management and prudent stewardship of our balance sheet. With an increasingly challenging macro and competitive environment expected for the foreseeable future, we will look to responsibly and profitably grow our business in the New Year, and successfully drive sustainable adjusted net income growth over the longer term. With that, I'll now turn the call over to Nick, who will discuss our financial results.
Nick Vassallo: Thank you, Julie. In the third quarter of 2022, we generated gross written premiums of $162 million, compared to $177 million in the prior year period. The year-over-year reduction was primarily attributable to the company's termination of an underwriting partner in a higher risk segment at the end of the third quarter of 2021, as the company focuses on maintaining, its underwriting discipline. Gross unearned premiums increased $1.1 million in the third quarter of 2022. As of September 30, 2022 net unearned premiums represented $101.5 million on our balance sheet, a decrease of $3 million or 2.9% from June 30, 2022 and up $16.9 million, or 19.9% from September 30, 2021. As we've consistently noted, net unearned premiums represent a material source of deferred potential profit. Net earned premiums for the third quarter was $71.4 million, a 37.4% increase from the same prior year period, primarily driven by both the growth in gross earned premiums, and the strategic increase in our retention of gross written premiums. Our loss ratio for the third quarter of 2022 was 63.9% compared to 61.8% in the same prior year period. Prior period favorable loss development for the third quarter of 2022 totaled $26,000. General and administrative expenses were $23.3 million in the third quarter of 2022 compared to $13.8 million in the same prior year period. This was primarily driven by an increase in net commissions, resulting from our increased retention, and increased gross earned premiums during the quarter. G&A operating expenses of $12.5 million were comparable to the same prior year period. Our expense ratio for the third quarter of 2022, as a result of our increased retention increased to 32.6% compared to 26.5% in the same prior year quarter. Our combined ratio for the third quarter of 2022 was 96.5% compared to 88.3% in the same prior year period. Underwriting income for the third quarter was $2.5 million, compared to underwriting income of $6 million in the same prior year period. Net investment income for the third quarter of 2022, was $3 million compared to net investment income of $2.2 million in the same prior year period. The net investment income increase in the quarter was a result of an increase in income from fixed maturities, income from funds held investments, and our equity securities and partially offset by unrealized losses on equity securities incurred in the third quarter of 2022. Our investment portfolio totaled $565.4 million at September 30, 2022 and was comprised, primarily of fixed maturity securities that were classified as available for sale. We also had $81.5 million of cash and cash equivalents on our balance sheet at September 30, 2022. Our investment portfolio had an average rating of AA at the end of the quarter. Other revenue, which consists primarily of brokerage and third-party administrative fees was $2.1 million for the quarter, compared to $2.8 million in the same prior year quarter, due primarily to a year-over-year decrease in brokerage revenue. As a reminder, our other revenue and brokerage fees can vary significantly from quarter-to-quarter based on the effective dates of underlying issuing contracts – insurance contracts. Net income for the third quarter of 2022 was $7.6 million or $0.15 per diluted share, compared to $6.5 million or $0.13 per diluted share in the same prior year period. Adjusted net income for the third quarter of 2022 was $5.5 million, compared to $7.7 million in the same prior year period. Adjusted diluted earnings per share for the third quarter of 2022 was $0.11, compared to $0.15 in the same prior year period. Return on equity for the third quarter was 7.5% and adjusted return on equity was 5.4%. Adjusted return on tangible equity, which is computed as annualized adjusted net income over average tangible equity was 11.2%. We are updating our full year outlook for 2022 from the metrics we provided on our prior call. For the full year 2022, we now expect the following; gross written premium is now expected to be between $620 million and $630 million, as we raised the low end of our prior range and this represents a year-over-year reduction of 2% on the low end and 1% on the high end. Net earned premiums are now expected to be between $263 million and $268 million compared to the prior range of between $255 million and $265 million. This represents a year-over-year growth of 32% on the low end and 35% on the high end. Net earned premium outlook reflects an increased retention rate experienced throughout 2022 based on current contracts in force. Total revenue is now expected to be between $278 million and $283 million compared to the prior range of between $268 million and $278 million. And the expense ratio is still expected to be between 32% and 33% of net earned premium. Expense ratio reflects the aforementioned increase in retention, which reduces the company's ceding commission offset to its general administrative expenses as well as additional reductions in ceding commissions resulting from adding more short-term lines of business, which typically have lower front fees. Expense ratio also reflects expected continued operational investments in the company. For the fourth quarter 2022, we expect gross written premiums to be between $142 million and $152 million, adjusted net income to be between $2.8 million and $3.8 million. Barring any large unusual loss activity, the company expects its loss ratio in the fourth quarter of 2022 to be consistent with its loss ratio in the third quarter of 2022. With the addition of the $50 million surplus note at 6.75% and rising interest rates, the company expects fourth quarter total interest expense to be approximately $1.5 million. The company reminds investors that its outlook is forward-looking information and is based on management's assumptions and expectations as of the date of this release and is inherently subject to a number of risks and uncertainties including as to the company's level of losses and loss development many of which are beyond the company's immediate control. We appreciate and thank you for your time this afternoon. With that we'll now open up the call for Q&A. Operator? 
Operator: Ladies and gentlemen, we will now be conducting a question-and-answer session [Operator Instructions] The first question we have is from Pablo Singzon from JPMorgan. 
Pablo Singzon: Hi, thank you. I was hoping to get your perspective on investment income. I appreciate all the sort of color or guidance you've given on the premiums and the adjusted income number but where do you think net investment income goes from here recognizing that we're in a rising rate environment? If you look at the past couple of quarters there's been a good pickup there.
Julie Baron: Right. So Pablo, we just received the $50 million proceeds from our surplus notes, so we were able to invest those at some pretty nice yields. Most of those exceeding 4%. So we're pretty pleased with that. We're – obviously, we're having the unrealized gains and losses that are offsetting our investment income but we do – so that will depress the investment income that shows up on our P&L.
Pablo Singzon: Yes, understood. Okay, go ahead.
Nick Vassallo: Pablo, if you look at the – Pablo, it's Nick. If you look at the supplemental table that's in the press release, it itemizes all the components that make up the net investment income line in the P&L and it will show the components inclusive of that unrealized gain loss that is still there on the holdings. So that schedule should show you all the components you need.
Pablo Singzon: Right. Thank you. And then my second question was just on your offer to the loss ratio in the fourth quarter. Based on what you said, it seems like you're implying a little to no favorable PYD in the fourth quarter. First of all, can you sort of confirm that? And secondly, I'm just wondering, why that's your expectation given your historical pattern reporting where in the fourth quarter you tend to release sort of [indiscernible] for PYD? Thank you.
Julie Baron: Right, Pablo. That has -- we have been fortunate that we've been able to have those releases in the fourth quarter in the past. We have been trying to readdress that in our calls and calling that out that we -- that is not going to continue to happen forever. That is -- your favorable development is something of a finite bucket. It's not endless. And we're coming off of a really difficult last year last year. I mean, we all talked a lot about that. And as the actuaries look at those results and they based their analysis and projections for the future based on the past. So, we don't expect that we'll get -- we'll get some credit for doing -- for having better loss results this year, but we probably won't get all of that credit.
Pablo Singzon: Understood. Thank you.
Julie Baron: But just to point out though, we did have unfavorable development. So that's always very positive.
Pablo Singzon: Right. Thank you.
Operator: Thank you, sir. [Operator Instructions] The next question we have is from [indiscernible] Evercore. Please go ahead.
Unidentified Analyst: Hi and good afternoon. Just on reinsurance renewals. We hear a lot about property reinsurance rates increasing quite a bit. Are you expecting any meaningful reinsurance costs to increase on your end?
Julie Baron: We have been seeing reinsurance costs increasing and seeing reinsurers looking to cap their participation their -- what their losses might be. So, we have seen that. We do expect, we'll continue to see that. Our property book that we have doesn't really renew until May. So hopefully, it will quiet down a little bit and we'll have something more favorable happen, but I think it's pretty much expected that we'll be seeing increases.
Unidentified Analyst: Got it. Thank you. And just on the loss ratio, it's 64 -- 63.9% loss ratio that we should think about for 4Q. How would you think about that in the context of 2023?
Julie Baron: That would be very forward looking. We...
Nick Vassallo: We put out that guidance to make sure that it's clear what we're expecting on a year-to-date loss ratio for the full 2022 year. That's why that guidance is out there the way it's written. As far as 2023, I think it's a little too early to do that kind of speculation or to even throw out anything definitive at this point.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you, sir. There are no further questions at this time. I would now like to turn the floor back over to Julie Baron for closing comments.
Julie Baron: Great. Thank you, operator. And I'd like to thank everyone for joining our call today. And as a recap, we are very pleased with our third quarter results and believe we are well positioned for the future. Thank you again for taking your time and for your interest in Trean. Have a great day.
Operator: Thank you, Ma'am. Ladies and gentlemen, that then concludes today's conference. Thank you for joining us. You may now disconnect your lines.